Operator: Good morning. My name is Mark, and I will be your conference operator today. At this time, I would like to welcome everyone to the Topaz Energy Corp. Third Quarter 2023 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remark’s there will be a question-and-answer session. [Operator Instructions] Thank you. I'll now hand the floor to Scott Kirker. Please begin.
Scott Kirker: Thank you Mark and good morning everyone. Welcome to our discussion of Topaz Energy Corp.'s results as of September 30 2023 and for the three and nine months ended September 30 2023 and 2022. My name is Scott Kirker and I'm the General Counsel for Topaz. Before we get started, I refer you to the advisories on forward-looking statements contained in the news release, as well as the advisories contained in the Topaz Annual Information Form and the Topaz MD&A available on SEDAR and on our website. I also draw your attention to the material factors and assumptions in those advisories. I'm here with Marty Staples, Topaz President and Chief Executive Officer; and Cheree Stephenson, Vice President-Finance and Chief Financial Officer. We’ll start by speaking to some of the highlights of the last quarter and the year so far. And after the remarks, we will be open for questions. Marty, Cheree go ahead.
Marty Staples: Thanks Scott. Good morning, everyone and happy Halloween. Topaz's third quarter average royalty production of 18,600 BOE per day includes another new record in total liquids royalty production of 5,700 barrels per day. Third quarter production was 145 BOE per day higher than the prior quarter despite continued wildfire impacts that reduced production during the first half of the third quarter. Year-to-date 2023, average production of 18,600 BOE per day is just above the midpoint of our 2023 royalty production guidance of 18,300 to 18,800 BOE per day. Average royalty production is 13% higher than the prior year comparative period. Notably since the completion of the Delta Stream Royalty acquisition one year ago, Topaz's royalty production has increased 5% per basic and diluted share. The growth is entirely attributed to operator development at no cost to Topaz. During the third quarter, 160 gross wells were spud across our royalty acreage diversified as follows; 68 Clearwater, 37 Northeast BC Montney, 30 Deep Basin, 16 Peace River, three Central Alberta, and six Southeast Saskatchewan Manitoba. In 2023, 430 gross wells were spud a 5% increase from the prior year. 63% of the 430 gross wells spud were in the Clearwater and Northeast BC, Topaz's high-growth areas. Average 2023 royalty production from these combined areas has increased 34% since 2022. Topaz continues to see a reliable and meaningful share of WCSB production and drilling activity across its royalty portfolio. The operator working interest production across Topaz's royalty acreage represented approximately 8% of total WCSB production and the 430 gross walls spud across Topaz's acreage represents approximately 13% of the total rig count across the WCSB. Based on planned operating drilling activity, Topaz expects that the current 26 to 28 active drilling rigs on its royalty acreage will be maintained through the fourth quarter. Our Q3 royalty production revenue of $67.6 million with 27% weighted towards natural gas royalty revenue and 73% of total liquids royalty revenue. Topaz's royalty realized pricing before hedging was $2.53 per Mcf for natural gas CAD103.58 for light oil and CAD89.78 for heavy oil. Relative to benchmark pricing, Topaz's realized pricing differentials for natural gas and light oil were consistent with the prior quarter. For heavy oil, our realized pricing differential for the Canadian WCS benchmark tightened 37% due to the revised pricing on certain heavy oil production. And in addition, the WCS benchmark differential tightened from US$15.07 to Q2 US$12.91 in Q3. For the third quarter of 2023, Topaz's total realized pricing was $39.61 per BOE, a 15% increase from the prior quarter attributed to both higher commodity pricing and revised heavy oil royalty pricing. Our infrastructure business continues to deliver stable inflation protected income. And through Q3, we realized 99% utilization of our natural gas processing capacity, despite impacts related to wildfires during the first half of Q3. Topaz generated $14.4 million in processing revenue and $3.8 million in other income from third parties. Topaz incurred $1 million in operating expenses, which is lower than the prior quarter, when higher maintenance and turnaround expenses were incurred. Overall, our infrastructure assets generated a 95% operating margin in the third quarter. Topaz generated cash flow of $74.7 million or $0.52 per basic and diluted share in the third quarter and we distributed 60% of our cash flow to shareholders through a $0.31 per share quarterly dividend. Our dividend is well supported by our stable infrastructure income, as it covers 40% of that. Using a current oil strip price forecast, our 2024 payout ratio would be just over 70% even at $0 AECO. This demonstrates the flexibility Topaz to continue to reinvest excess free cash flow and continue to increase the dividend. To date, in 2023, we generated $78.6 million of excess free cash flow, $40 million of which was invested in royalty and infrastructure and water assets in the Clearwater and Peace River areas, which generates just over $6 million per year in stable income. From Q3 of last year, Topaz's quarterly dividend has increased 11% and Topaz's reduced net debt by $76.7 million or 17%. We exited the third quarter of 2023 with $363.2 million of net debt and approximately $600 million of available credit capacity. Subsequent to the third quarter, Topaz entered into definitive agreements for an acquisition of a royalty and infrastructure assets from a Canadian energy producer in the Clearwater area. The royalty assets adding 20,000 gross acres in the West Nipisi area were acquired October 25, 2023. The Marten Hills infrastructure assets are being built through 2024 and Topaz will acquire a 99% working interest upon completion and commissioning. The total consideration of $26.3 million for the royalty and infrastructure assets is estimated to generate $3.7 million of incremental infrastructure income once completed $0.5 million of incremental natural gas, royalty reduction from existing royalty acreage, and Topaz expects additional royalty revenue from the new GORR labs. The new royalty assets are supported by a capital commitment and development on the acreage is expected to commence during the fourth quarter. From a guidance perspective, we continue to maintain our 2023 royalty production estimate between 18,300 and 18,800 BOE per day. And for the fourth quarter, we estimate 18,800 to 19,000 BOE per day of royalty production and $17 million to $18 million of infrastructure income. We've established a preliminary 2024 guidance estimate based on approximately 20 to 30 active rigs across our acreage through 2024, subject to key operators final 2024 operating budgets, capital budgets and operational ideas, weather or wildfire-related issues that may impact 2024 production. Topaz estimates 2024 average royalty production of 18,800 to 19,600 BOE per day in addition to $69 million to $71 million of infrastructure income. Based on current commodity pricing and before acquisition, Topaz expects to exit 2024 with net debt of approximately $200 million or around 0.6 times net debt to EBITDA. We look forward to discussing the fourth quarter on the next call and we're pleased to answer any questions at this time.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Luke Davis from RBC. Please go ahead. Your line is open.
Luke Davis: Yeah. Thanks, good morning. I'm wondering, if you can just frame up some of the modeling assumptions that go into your 2024 guidance, fairly wide range there and understand that several producers don't have info. So maybe some conservatism built in, but what are the primary swing factors on that range?
Cheree Stephenson: Hello. Good morning. So I can frame that out for you. So essentially we wanted to set some parameters for the year as we see it from existing five-year plans. And the real differentiator for Topaz has been that we have these strategic partnerships with certain operators. And so barring any material changes with their more granular 2024 budget, we do see this range as maintaining a term line at about 3% year-over-year growth about 10% year-over-year growth in the Clearwater from our key operators, Tamarack and Headwater. And then beyond that, we've never had 100% certainty over our non-core or fee-based acres. And so that can be a swing factor. It is only 10% of our portfolio within that non-core piece would be the waiver in asset, which we see as very reliable and flat production. So there's about 200 barrels for sure of swing factor in that non-core stuff that we don't want to rely on, but we've definitely seen very positive results through 2023. And the other thing to keep in mind is the impact of wildfires and what we saw happened through 2023. So the wider range is there to capture all of that. We do see the midpoint plus or minus that 200 barrels or upside of that 200 barrels from the non-core stuff being our ideal situation.
Luke Davis: That’s really helpful. Thanks.
Marty Staples: Thanks Luke.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jamie Kubik at CIBC. Please go ahead. Your line is open.
Jamie Kubik: Yes. Good morning. Thanks for taking my questions. So we've seen some recent royalty acquisitions from Topaz that are mostly focused on oil and recognizing that the infrastructure acquisitions lately, been focused on natural gas. How are you thinking about natural gas weighted royalty acquisitions in the current commodity environment though? Can you outline opportunities for that and how you're thinking about it moving forward?
Marty Staples: Yes. Good morning, Jamie, thanks for the question. We always like to be countercyclical in our acquisitions. And so with our recent oil acquisitions, they were mainly undeveloped acreage. And so we do think there is an opportunity to acquire oil assets at a lower price, because we weren't paying for PTP. From a gas perspective, we do continue to examine different natural gas areas where we can be useful. So I do think that if we're able to acquire natural gas at the right price, we would look to do that. So we're not kind of I guess looking to add either, but we're open to the business on either one as well. And we did mention kind of we did some natural gas plant and pipeline acquisitions, we'll continue to do different acquisitions along that line. We're pretty open to -- for business on both oil and gas, and I think that's been very evident in the acquisitions we made over the last year. And the other one I would include in that is the water acquisition we did early in January. So a 15-year take-or-pay contract our second deal like that on water handling.
Jamie Kubik: Okay. Great. Thank you. And then maybe just to clarify on the West Nipisi, 7% royalty. There's no current production attached to that assets. And given the size of the acreage where do you think the potential royalty could move to in the coming years on that acquisition?
Marty Staples: Yes. And so it is completely undeveloped at this point in time in that way. That's why it was important for us to add a capital commitment to it. And as I mentioned on the call we're going to see some development start in the latter part of Q4 and into Q1. And so we do hope to see it well on. We really want to see the results of that first and second well before we comment on the absolute growing room of that, but we did map it pretty closely. This is something we identified early on once we found out who the owner was we did approach them first to try and get a royalty on this acreage. And so I do think there's some qualities that we can map to some other of the high-quality plays inside the Clearwater.
Jamie Kubik: Okay. Great. Thank you. That's it for me.
Marty Staples: Thanks, Jamie.
Operator: Thank you. [Operator Instructions] Okay. There seems to be no further questions coming through at this time. So I'll hand the floor back to our speakers for the closing comments.
Marty Staples: Thanks everyone. Enjoy Halloween today, and we'll see you next quarter.
Operator: Thank you. This now concludes the conference. Thank you all very much for attending. You may now disconnect your lines.